Operator: Good afternoon. This is the Chorus Call conference operator. Welcome, and thank you for joining the Snam First Half 2025 Consolidated Results Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to Francesca Pezzoli, Head of Investor Relations at Snam. Please go ahead, madam.
Francesca Pezzoli: Good afternoon, ladies and gentlemen, and welcome to the presentation of Snam H1 2025 consolidated results, which were approved by the Board earlier today. Our presentation will be divided into 3 parts. First, Snam's CEO, Agostino Scornajenchi, will share his opening remarks, offering an overview of recent market developments, regulatory updates and the main industrial and financial milestone achieved during the period. Luca Passa, Snam's CFO, will then provide a detailed review of our financial performance. After that, Agostino will return for some closing remarks, followed by our Q&A session. With that, I'm pleased to hand over to Agostino.
Agostino Scornajenchi: Thank you very much, Francesca. Good afternoon, everyone, and thank you for joining us today. This is my first call since my appointment as Snam's CEO in May. I'm honored to lead such a solid organization, which is a pillar of the energy system and plays a central role in ensuring energy security for our country and for Europe. I found a company with strong fundamentals and great people. Let me begin by highlighting a few key facts that underscore the central role of Italy's gas infrastructure. Each year, we transport around 600 terawatt hour of energy, twice the amount carried by the electricity grid and at less than 50% of the unit cost. Approximately 40% of this gas is used in gas-fired power generation, producing around 120 terawatt hour of electricity. This accounts for about 45% of Italy's total electricity output and up to 70% on days where renewable generation is low. In addition, we delivered more than 110 terawatt hour for industrial and hardware-based sectors, including steel, ceramics and chemical subsectors. Moving now to Slide #4. The energy crisis and geopolitical situation have reshaped perception of energy security across Europe. This has triggered the need of strengthening gas infrastructure. In a few years, the country shifted from a system largely dependent on pipeline imports from Russia to a more diversified mix, including growing imports from North Africa, Azerbaijan via the TAP pipeline and liquefied natural gas. LNG, in particular, more than doubled versus '21, accounting for 30% in H1 '25, supported by new regasification terminals in Piombino and Ravenna. It has created the need of the new marine infrastructure requiring a new set of engineering and operational competencies. Moreover, gas plays a critical role as a stabilizing energy source in a system increasingly dominated by intermittent renewables. Events such as Spain's blackout highlight the importance of determining the appropriate share of traditional generation needed to ensure system security without creating excess capacity. Rather than focusing solely on an energy transition, we strongly believe we are entering into an energy addition or energy integration phase based on a balanced mix of energy sources to maintain both competitiveness and sustainability. Let me now turn to some key trends at Page 5 in the Italian gas market during the first half of '25. Between January and June, gas demand in Italy reached 33 billion cubic meters, a 6% increase compared to the same period last year, marking the first rebound in 4 years. Residential and commercial sector were up by 3%, largely due to slightly colder weather condition, while industrial demand remained broadly stable. The key driver of the increase was the thermoelectric sector, which grew by 12%. This underscores the critical role of gas-fired power generation in balanced energy system, especially as we integrate an increasing share of renewable energy. The flexibility provided by gas plants proved to be vital to maintaining grid stability in a context of greater intermittency, and this is an European phenomenon with gas-fired electricity production up 17% in Europe. Exports have also risen sharply, growing roughly fourfold compared to the previous year, driven in particular by flows from Tarvisio. Looking at supply flows, we have seen a notable shift. Pipeline imports decreased by 1.8 billion cubic meters, more than offset by liquefied natural gas imports, which rose by 2.4 billion cubic meters with a significant 32% increase. This growth was supported by the full return to operation of the OLT terminal in Livorno and the start-up of a new terminal in Ravenna. As a result, liquefied natural gas accounted for over 30% of Italy's gas imports. This contributes significantly to enhancing both the country energy security and the diversification of supply sources, which is crucial in today's complex geopolitical environment. We have been able to successfully navigate sudden shift in market dynamics and gas flows, ensuring security of supply, thanks to the flexibility of Snam's existing infrastructure, further enhanced by the addition of new regasification terminals. In H1 '25, we progressed on the strategy delivered. I'm now at Page 6. Let me remind the key highlights on gas infrastructure. Works on Phase 1 of the Adriatic Line are moving forward steadily with 42% of the pipeline installation completed and progress on the compression station reaching 20% with overall completion at 35%. The BW Singapore regasification unit moored offshore Ravenna began operations in May. Short-term auctions have already allocated capacity for June and July with 4 vessels having arrived so far. The first half of the year, Italy received more than 100 LNG tankers, nearly half of which coming from the U.S. for a total volume of about 10 billion cubic meters. At the end of June, the storage exceeded 70%, approximately 10% higher than the European average. At the end of July, we are about 80%. Moving to our energy transition platform. The first phase of the CCS project in Ravenna has delivered solid technical results. Permitting for the pipeline is at an advanced stage and the process for storage has recently begun. We expect the technical regulation on CO2 transport to be published soon. We look forward to greater regulatory clarity to move ahead with the next phase. On biomethane, we have 72 megawatts already in operation authorized or under construction, and our mission is to speed the ramp-up and maximize the value of the asset. Renovit backlog is broadly stable at EUR 1.4 billion. With regard to the H2 backbone, we have been awarded EUR 24 million contribution by the Connected Europe Facility Energy program to cover approximately half of the feasibility studies. Let's look now at sustainability. 32% of CapEx aligns with the EU taxonomy and 61% with SDGs in H1 '25, while sustainable finance reached 86% of the total. We expect '25 Scope 1 and 2 CO2 emission down approximately 20% versus 2022, which is our baseline. As part of our commitment to transparency and biodiversity, we have published our first TNFD, Taskforce on Nature-related Financial Disclosure reconciliation table. We have also launched our first employee share ownership plan, supported by a dedicated communication campaign aimed at reaching our entire [Audio Gap]. Let's now move to the H1 results at Page 7. We have delivered a sound performance despite persistent volatility. Adjusted EBITDA of EUR 1.492 billion is up by 5.3% year-on-year, driven by growth in regulated revenues. Adjusted net income at EUR 750 million, plus 8.5% year-on-year, thanks to higher EBITDA and greater contribution from associates, only partially offset by higher depreciation and financial charges. Investment at EUR 1.122 billion was broadly in line with H1 '24 following the completion of works related to the Ravenna LNG terminal. Net debt reached EUR 17.6 billion, mainly reflecting the investment carried out and the dividend payment. The average cost of debt was stable at 2.5%. Standard & Poor's raised Snam rating to A- following the upgrade of the sovereign and confirming our strong credit profile. Let's now move to key regulatory updates. The regulator has changed the RAB indexation from '25 to the harmonized index of consumer price for the European Union countries related to Italy, the so-called EPCA Italy. At the same time, the deflator for '24 was updated to 7.9% from 5.3% to recover past adjustments. Therefore, 2025 tariff RAB was lifted to EUR 26.2 billion from EUR 25.8 billion. On May 22, ARERA published a consultation document that contains some adjustments to the implementation criteria for the ROSS-based regulation and the general guidelines for the progressive implementation of the full ROSS by 2028 with a transition period '26, '27. It adopts a step-by-step proportionate approach designed to ensure a smooth transition for all market participants. The Council of Ministers approved on June 30, a draft law for the definition of a legislative framework for carbon capture and storage, hydrogen and methane emission reduction. The draft now needs to pass through parliament, and it will lay the groundwork for establishing a CCS market in Italy and attributes to ARERA, the role of regulator for the hydrogen and CCS market. Several progress were made on the financing front. In an extremely volatile geopolitical context, we have successfully issued our U.S. dollar -- our first U.S. dollar multi-tranche sustainability-linked bond totaling USD 2 billion and 1 billion first EU green bond. Very good job, Luca. With this transaction, we have completed the refinancing for the full year. Moving now to our associates portfolio. In March, the stake in ADNOC Gas Pipeline was sold to Lunate for $234 million. In May, we have successfully placed via accelerated book building, the sale of a portion of Italgas option rights and partially follow the capital increase diluting our stake by approximately 2%. In addition, we have recently concluded our exit from ITM Power for an amount of $11.5 million equivalent. With regard to OGE acquisition, the closing is subject to some condition precedents that were partially met. In particular, no other shareholder exercised the right of the German antitrust authority provided the green light. The process for the foreign direct investment clearance is ongoing, and our base case is to close the deal by the end of Q3 this year. Now I hand over to Luca for the comments on financials. Please, Luca.
Luca Passa: Thank you, Agostino, and good afternoon, everybody. Moving to Slide #9. Out of the total around EUR 1.1 billion of investment broadly in line with the previous year, 32% is EU taxonomy aligned and includes -- with regards to gas infrastructure, H2 ready replacement, dual fuel compressor station, biomethane plant connections. As for the energy transition businesses, H2 and CCS, a large part of biomethane depending on plant technical standards and energy efficiency, excluding cogeneration. SDG alignment is instead 61%, of which the majority goes towards SDG 7, 9 and 13, respectively, affordable and clean energy, industry innovation and infrastructure and climate action. More than 50% of CapEx are development investment, reflecting the company industrial growth phase. Let's now move to H1 2025 EBITDA analysis on Slide #10. EBITDA for the period was EUR 1.492 billion, plus 5.3% compared to last year or plus EUR 75 million. The growth is mainly attributable to regulatory items for a total of around EUR 70 million related to the recognition of the 2024 deflator update for EUR 52 million, the adoption of the Italian IPCA for the RAB revaluation starting in 2025 for around EUR 50 million, partially counterbalanced by the WACC decrease for around EUR 50 million. Regulated revenues increased for around EUR 54 million, Stogit Adriatica that entered into perimeter from the 3rd of March 2025 and positively contributed by EUR 18 million. Ravenna FSRU that started operation in May and contributed by EUR 4 million. In detail, the regulated revenues growth was driven by transport and storage revenues increased by around EUR 77 million linked to the investment plan execution. Fast money effect for around EUR 11 million, higher allowed OpEx mainly due to inflation. These effects were partially counterbalanced by the absence of LNG extra revenues recognized in second quarter 2024 for around EUR 40 million, the output-based reduction of around EUR 70 million versus last year, mainly attributable to the storage reverse flow services and the expected phaseout of input-based incentives. The increase in gas infrastructure operating cost, about EUR 30 million is mainly attributable to lower cost in large part due to inflation and new hires. With regard to the energy transition business, the EUR 8 million EBITDA contribution is mainly driven by biomethane supported by higher volumes. As for the full year, our guidance is EUR 2.850 billion EBITDA, which does not reflect the positive impact of the 2024 deflator update, which accounts for around EUR 52 million, nor the switch to Italian IPCA index for RAB revaluation starting in 2025, which is worth approximately EUR 40 million for the full year. As described at Page 11, during first half 2025, our associates contributed to the group net income by EUR 204 million or plus EUR 47 million increase compared to the same period of the previous year. Out of the total contribution, EUR 131 million came from our foreign associates and the remaining EUR 73 million from the Italian associates. Let's now dive into the performance of each one. TAP's slightly higher year-on-year contribution is driven by inflation-adjusted tariffs and lower net financial expenses. With 15% of Italian imports covered in the first half 2025, TAP is the second largest import route via pipeline with commercial operation starts of the 1.2 bcm expansion in January 2026. Construction works are almost completed and commissioning activities have already started. The corridor's operating performance remained broadly in line year-on-year with approximately 11 bcm of gas transported to Italy in the first half of the year, confirming it as the country's leading import route via pipe. Terega contribution was slightly lower compared to the first half 2024, mainly due to higher energy costs driven by strong storage withdrawals as well as higher interest expenses following a bond refinancing in 2024. Moving to Austria. TAG benefited from the new regulatory framework, which removes volume risk, allowing TAG to fully record allowed revenues versus last year, bringing net income contribution to positive. Also GCA's performance benefited from the new regulatory framework, however, offset by a worsening in the booking situation, which will be recovered from t+2. In H1 2025, we recorded a significant increase of exports from Italy to Austria, underlying the strategic relevance of this route. Desfa lower contribution is due to lower auction premium on LNG imports and export to Bulgaria, now in line with historical trends. However, Greek demand rose by 15% compared to first half 2024, driven by a colder winter and a higher demand for power generation. Alexandroupolis FSRU is expected to be back in operation by the beginning of the next thermal year 2025, 2026. Interconnector contribution remains in line year-on-year since we are reaching the yearly regulatory cap, thanks to capacity almost 50% booked until 2026. EMG contribution is substantially in line versus first half 2024. We do not expect to record material deviation on the yearly contribution from the upstream interruption occurred in June. Regarding [Audio Gap] represented only 1 month of net income contribution, while you can see the consolidated reported level, the capital gain. Italian associate growth is mainly driven by Italgas overperformance in first half and by higher contribution from Adriatic LNG following the increase of some participation in the company from last December. For the full year, we expect approximately EUR 360 million, EUR 365 million of contribution from associates, assuming OGE contribution starts in fourth quarter. You will find in the annex the updated info pack with detailed contribution and data of all our associates. Let's now move to the first half 2025 net income analysis on Slide #12. Adjusted net income for the period was EUR 750 million, plus 8.5% compared to first half 2024 due to higher D&A by EUR 51 million following rising investments and the entering into perimeter of Stogit Adriatica from March and Ravenna FSRU from May. Higher net financial expenses by EUR 22 million, mainly driven by a slight increase in financial expenses related to debt, reflecting higher financial indebtedness with an average cost of net debt flat at approximately 2.5% lower nondebt-related financial income, in particular, lower interest related to the default service. Higher contribution from associates, as already commented, which was the result of higher international associate contribution for EUR 20 million and higher Italian associates for EUR 27 million. Lower taxes reflected higher contribution from associates to EBT as well as tax credit adjustment related to 2024 income taxes. It is important to note that the EUR 1.350 billion net income full year guidance does not include the positive impact of the 2024 deferred update, which is worth around EUR 52 million nor the switch to the Italian IPCA index for RAB revaluation starting in 2025, estimated approximately EUR 40 million for the full year. Turning now to cash flow on Slide #13. Cash flow from operations for the period amounted to around EUR 1.118 billion and was the result of EUR 1.039 billion of funds from operations and EUR 79 million working capital cash generation. The change in working capital was mainly driven by regulatory working capital with around EUR 300 million of tariff-related items, mainly driven by additional tariff components, around EUR 330 million absorption due to balancing and settlement activities and default service and about EUR 100 million cash generation, mainly driven by super bonus fiscal credit decrease. Net investment for the period amount to EUR 1.575 billion, including EUR 564 million of cash out related to Stogit Adriatica and around EUR 233 million of ADNOC disposal cash-in. Other outflows were related to the payment of dividends for EUR 955 million, resulting in a change in net debt of about EUR 1.342 billion. EBITDA cash conversion reached a very healthy 78%. Moving to Slide #14. Net debt amount to around EUR 17.6 billion at the end of the first half 2025. Net cost of debt, which is calculated as financial charges net of liquidity income on average net debt for the period remained stable at 2.5%, while fixed floating mix is at 89%, 11%. The stable finance ratio is at 86%, well on track to reach our long-term target of 90% by 2029. The new sustainable finance framework has been published, including the new targets on carbon neutrality for Scope 1 and 2 by 2040 and net zero for all scope by 2050. Following the publication, Snam successfully placed its first U.S. dollar multi-tranche Sustainability-Linked bond totaling $2 billion. It represents the first Sustainability-Linked transaction globally with a net zero emission target across Scope 1, 2 and 3. Moreover, in June, we have published the European Green bond fact sheet in a full alignment with the European green bond standards. Following it, we issued our first green bond aligned with the European green bond standards for a total amount of EUR 1 billion, the largest European green bond by European corporate so far. Following this transaction, funding for the year is completed, leaving the remaining part of the year for further opportunistic prefunding activities. Credit ratings were confirmed by Moody's and Fitch following OGE acquisition announcement, while Standard & Poor's raised positioning to A- following the upgrade of the sovereign, providing the strength of our credit metrics and business profile. I will now hand over to Agostino for the closing remarks.
Agostino Scornajenchi: Thank you very much, Luca. In conclusion, we have reported solid financial results across all key indicators while making tangible progress in the execution of our strategic plan. This confirms the strength and the resilience of our business model. The broader energy and geopolitical landscape remains volatile and complex. In this context, the central role of gas within the energy system has become increasingly evident. Our infrastructure has proven essential both in supporting supply diversification and in providing the flexibility needed to balance the market that is increasingly reliant on intermittent renewable sources. Looking ahead, we benefit from strong visibility, and we are very comfortably on track to deliver or even exceed our full year '25 guidance. As a Snam new CEO, I am fully committed to delivering sustainable growth, maximizing long-term value creation for all our stakeholders and preserving the company's robust financial position and flexibility. We move forward with confidence supported by solid fundamentals, a clear strategy and the purpose-driven organization ready. And on this, let me thank all the Snam people for the tremendous effort and professionalism they put in their daily activities. In conclusion, things are happening in a very volatile energy environment as Snam wants to play a central role in reshaping the energy sector towards the future. We are now available to take all your questions in a live Q&A session. Thank you very much.
Operator: [Operator Instructions] The first question is from Javier Suarez of Mediobanca.
Javier Suarez Hernandez: Three questions. The first one is a high-profile, I guess, question after the publication in the Italian press of the first draft of the energy decree that should be approved by the Council of Ministers anytime soon. The question is, which are the implication of that energy decree for a company like Snam and the implication for your strategic priorities? That is a question for the CEO. And then second question is on your guidance. So the numbers, the net income that the company has released represents circa 5% of -- 55% of the net income target and the guidance is not considering any important regulatory update. So the question is, what is preventing you from increasing the guidance? Is just for the sake of being conservative or there is something that we should be aware of that is preventing you for increasing that guidance at this stage? And then the third question is a specific question on the carbon capture and storage activity. If you can provide more color on the long-term strategy from the company in that activity and the implication that this may have for a company like Snam.
Agostino Scornajenchi: Thank you very much, Javier. It's a pleasure to take your question. Regarding in general, let me say, the strategy of Snam and the approach related to what is happening on the legislative framework. Well, I think that we do have an environment in which we have to face as a nation, high energy cost and also some increasing concern for the security of supply. This is our life in the latest 4 or 5 years with the crisis following the invasion of Ukraine. And also, this is something that is continuing with the recent events and blackouts events that happened not so far from here. So there are some concerns about the stability of the electricity systems and the long-term perspective about such sector. I do appreciate a lot the effort of the government in trying to find long-term solution to these complicated issues that involves the proper structure of the market after 30 years of functioning of a certain market system that probably was defined several years ago with different priorities and the criteria that now need to be updated. So we are very positive on this. But we don't want to play, let me say, a passive role, we want to play a proactive role in supporting institution and find the right solution. We presented last January a business plan. And I say we, meaning that the business plan is not my business plan, it's the business plan of the company. I personally will be focused in ensuring continuity and delivery. And at a certain point, we will update such business plan. I want to ensure that Snam will remain a key pillar of the European energy system and the guarantor of the security of supply especially when the geopolitical and market dynamics are changing rapidly and unpredictably. What we know is that today, the gas molecules represent more or less 30% of the energy mix, and this represents the main source of electricity in the country. We also consider financial discipline as an essential element of our strategy. We will continue seeking the right balance between investing for growth while maintaining a solid capital structure in order to be able to deliver a long-term value for all our shareholders. We are also conducting an in-depth review of our portfolio of associates and all the ancillary businesses to assess how they best fit with our strategy to maximize the value creation for Snam and its stakeholders. Regarding your second question on the update -- potential update of the guidance. Well, you're right, we are talking about very positive results. And based on the results at the end of June, we are more than comfortable to deliver the full guidance even to exceed such guidance. You have also to consider that the EUR 1.35 billion of adjusted net income guidance does not reflect the positive impact from the deflator update, which accounts per se for around EUR 52 [ million]. So for sure, there is a good possibility that we will exceed such guidance. But you have to consider that I've just taken the role of Snam CEO, and I'm now currently conducting a thorough review of all potential upsides and risk. We have not highlighted anything relevant. But while the initial signs are more than encouraging, I believe it's still premature to formally revise the guidance before completing such analysis. Although we expect that additional $90 million deflator update at least will be finally delivered. We will come back on this in November when we'll comment our 9-month results. Relating CCS. Well, from a technical standpoint, let me say that we are continuing to advance in the Ravenna CCS project with a very good partnership with Eni, we consider that CCS will be a relevant part of our industrial future. And this is something that need to be connected with what we just explained during the presentation. We know that we will need a certain amount of gas to continue to provide technical support to the electricity system and to industrial sector. This is what I mean with energy integration. We have to integrate our gas, and we have to accept that a certain part of CO2 need to be emitted. So the question is not how to put gas to 0 because this is impossible from a technical standpoint, but how can we manage this in a sustainable way. And CCS is a technology tool that we want to explore at the best of our possibility, and this is what we will do in the coming future. Ravenna exercise is an excellent example of what Italian technology can do in partnership with the relevant players. And aside this, we consider very positive the decision of the government to start discussing about the future regulation on CCS. We will follow it, and we will provide all our support to this evolution.
Operator: The next question is from James Brand from Deutsche Bank.
James Brand: Agostino, congratulations on joining Snam, and I wish you all the best of luck in the new role. I just had one question actually, and that was on new incentives. As I understand it, the regulator is working on potentially kind of 2 or 3 new incentives for you or maybe 2 new incentives and you can propose one. So I was just wondering whether you could give us some more detail in terms of how you think those incentives might look the new ones that the regulator is looking at, like how are they anticipated to work? And when will they be brought in?
Agostino Scornajenchi: Well, I think that you are talking about the consultation document issued by ARERA at the end of May that contains adjustment to the implementation criteria for the ROSS-based regulation. And of course, it includes also some element in order to anticipate some hypothesis about the impact of some output-based incentives. Well, that's for sure, an interesting tool. We will explore it. We'll do our best to take benefit from this evolution of the regulation. But let me tell you that we will follow a proportionate approach we want to -- not to use this tool with, let me say, a speculative approach. We try to do our best to implement evolution that will provide real changes for the benefit of the final customers, but without creating any relevant modification to our risk profile.
Operator: The next question is from Bartek Kubicki of Bernstein.
Bartlomiej Kubicki: Agostino all the best as well. Two questions, one big picture and one company specific. The big picture is related to the EU-U.S. deal announced over the weekend, where EU is going to buy a much bigger amount of energy from the U.S. So I just wonder how do you look at this from gas infrastructure perspective? Because I guess it also means importing much more gas to the EU market. So just your view, whether it's actually feasible and whether there's enough transport LNG capacity in Europe and in Italy to take more U.S. gas. That will be the first one. And second, the company specific, if you look at you regarding the funding structure. I recall in the past, Snam used to have much higher proportion of floating debt. I think it was even hitting around 25% years ago. Now you have 11%. So you have kind of fixated a higher amount of your debt. Is it like this to be going forward? I mean you want to have much more fixed debt in the funding structure? Or this is only temporary and future needs you will be financing with short-term floating debt as well?
Agostino Scornajenchi: Thank you. Thank you very much, Bartek. And also, James, thank you very much for congratulations. I will do my best as Snam CEO. So regarding the evolution on import side on LNG and the recent news happened between -- on the agreement between EU and the United States. Well, let's start from some historical figures. In '24, energy imports were valued at more or less EUR 350 billion, EUR 370 billion, of which around EUR 70 billion, EUR 75 billion, more or less 20% came from United States. Under the new trade agreement between the U.S. and the European Union, it seems that Europe committed to import EUR 750 billion worth of energy, including a lot of things, oil, gas, nuclear, raw materials over 3 years. It means 250 billion per year that is more or less 3x increase in the annual energy imports from the U.S. So let's look now and nothing to comment on this, it's not up to me. But let's look at Italy specifically looking at our gas demand. Well, the full year '24, the total gas consumption was 62 billion cubic meters, of which 15 billion came off from LNG. So we are talking about 25%. On this 15 billion cubic meters, 5 billion came from U.S. If we move to '25, we do expect the total gas demand will move from 62 to 64 with 20 bcm, 20 billion cubic meters or 30% expected from liquefied natural gas. If we look at the figures at the end of June, we are more or less on the U.S. gas where we were at the end of '24. And we do expect that if this trend continue, we will expect to more or less double the volumes from U.S. in '25. If you look at the regasification capacity of the Ravenna terminal that has been added to the other station unit, the total regasification capacity for the country reached 28 billion cubic meters. That is more or less 50% of the capacity that could be used to accommodate potential LNG imports from the U.S. Regarding your question on debt structure, I will give the floor to Luca. Please, Luca.
Luca Passa: Bartek, regarding the funding structure, the 89%, 11% fixed to floating is temporary. We have, let me say, a target to be on 75-25 every year. It's temporary, and it's related to the fact that we issued longer-term fixed rate, as you might recall, in the U.S. So current duration is 4.7 years overall. We expect to finish the year shortening the duration between 4.2 and 4.3 average as well as cost of funding today is at 2.5%, we expect to finish the year at 2.6% overall net debt cost of funding.
Operator: The next question is from Alberto de Antonio of BNP Paribas Exane.
Alberto de Antonio Gardeta: [Audio Gap] your new role. A couple of questions from my side. The first one, maybe a follow-up on guidance regarding the net income of EUR 1.35 billion. And you mentioned doesn't account the deflator, which is EUR 52 million, so EUR 52 million and then the [ IPCA ] adjustment. But could you remind me the number, EUR 40 million, so 4-0 or EUR 14 million, 1-4. It will be the first one. Then the second one is regarding the Italgas stake that you -- like you have not fully subscribed all the shares. And actually, the share has performed really well. Could you consider to sell this stake or part of this stake to finance your operations? Do you have a full discretionary decision forward regarding this? Or will you have to reach an agreement with CDP, your major shareholder? Or do you have any other contractual or legal requirement that prevents for doing so? And finally, maybe if you could update us on the mark-to-market value of the WACC for 2026, if you expect the threshold of a trigger mechanism to be reached or it's still below the 30 basis points?
Luca Passa: Okay. Alberto, regarding the guidance. So the 2 positive effects, which are not currently in the guidance is EUR 52 million regarding the adjustment of the deflator inflation index for 2024, which is EUR 52 million, 5-2 and EUR 40 million, 4-0, the move to IPCA for 2025. So EUR 92 million in total pretax. And that's basically what is not currently included in the formal guidance. Regarding the Italgas stake, you might recall that we have one shareholder pact with CDP, which is our shareholder and also Italgas shareholder that provides us not to go below 6.4% in Italgas. And on top of that, we have issued an exchangeable back in 2023 that is basically covering what is left between 6.5% and 11.4%, which is our current stake. Therefore, we do not expect to do anything on Italgas given the contractual framework that is actually in place on both the exchangeable as well as the shareholder part. Regarding the third question, mark-to-market on WACC, we currently are still above the trigger mechanism on the WACC. It's currently 15 basis points away on the transport, which is the, I would say, most relevant one and about 5 to 6 basis points away when it comes to regasification. There are only 2 months left. So our expectation is clearly for the trigger not to be triggered.
Operator: [Operator Instructions] The next question is a follow-up of Alberto de Antonio from BNP Paribas Exane.
Alberto de Antonio Gardeta: Maybe one additional question regarding your debt. In 2026, you will have to finance around 3.6 -- refinance around EUR 3.6 billion of debt maturing during 2026. What is the expected impact on your cost of debt? And what -- where do you see the average cost of debt by year-end 2026? And also, maybe if you could explain us the rationale behind issuing some debt in U.S. dollars and whether you think that this is an interesting way of financing operation given that actually all of your operations are in euros.
Luca Passa: Thank you, Alberto. I'm answering first the second part of your question. So the reason why we have tapped the U.S. dollar market is because it's the most, I would say, developed capital markets when it comes to fixed income across the globe. The company with its investment plan has between EUR 2.5 billion and EUR 3.5 billion of funding every year to be done. And clearly, the euro market is, I would say, very available to us, but we want to have alternatives, so diversification of funding. Now we don't take any currency risk when we issue in dollars. We swapped all our issuance directly into euro. So there is no currency risk attacks and the rationale is just to diversify market access. When it comes to 2026, we haven't gave the guidance on our expected cost of debt. I said that 2025 full year expected cost of debt is 2.6%. Clearly, if interest rates remains where they are, we might have some increase, but we're very far away from the 3%, which is at the end of our plan in terms of estimates.
Agostino Scornajenchi: Yes. If I may add something, Luca, if you don't mind, I will insist on what I told you previously, we consider our financial solidity, stability and confirmation of our rating important element of the strategy of the company. We will do our best to keep it, to keep the debt under very strict control to pay as less as possible for future -- future bonds and also consider, I said before that I would like also to explore all the possibility inside our portfolio in order to assess if all the participation that we do have are strategic or not and also leveraging on this to make our capital structure more and more efficient also in the future.
Operator: [Operator Instructions] There are no more questions registered at this time.
Francesca Pezzoli: So thank you very much for listening to the call. As usual, the Investor Relations department is available for any follow-up questions. Thank you very much.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones.